Operator: Greetings, and welcome to the Euronet Worldwide Second Quarter 2023 Earnings Conference Call. At this time all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. It is now my pleasure to introduce your host, Mr. Scott Claassen, General Counsel for Euronet Worldwide. Thank you. Mr. Claassen, you may begin.
Scott Claassen: All right. Thank you. Good morning, everyone, and welcome to Euronet's second quarter 2023 earnings conference call. On this call, we have Mike Brown, our Chairman and CEO; and Rick Weller, our CFO. Before we begin, I need to call your attention to the forward-looking statements disclaimer on the second slide of the PowerPoint presentation we'll be making today. Statements made on this call that concern Euronet's or its management's intentions, expectations or predictions of future performance are forward-looking statements. Euronet's actual results may vary materially from those anticipated in these forward-looking statements as a result of a number of factors that are listed on the second slide of our presentation. Except as may be required by law, Euronet does not intend to update these forward-looking statements and undertakes no duty to any person to provide any update. You should avoid placing any undue reliance on any of these forward-looking statements. In addition, the PowerPoint presentation includes a reconciliation of the non-GAAP financial measures we'll be using during the call to their most comparable GAAP measures. Now I'll turn the call over to our CFO, Rick Weller.
Rick Weller: Thank you, Scott. Good morning, and thank you to everyone who's joining us today. I will begin my comments on Slide 5. For the second quarter, we produced revenue of $939 million, operating income of $122 million, adjusted operating income of $120 million and adjusted EBITDA of $166 million. Excluded from the adjusted operating income, adjusted EBITDA and adjusted EPS and is a non-cash gain recorded in the EFT segment. Adjusted EPS was $2.03, a 17% increase from $1.73 in the second quarter of 2022. These results produced a record second quarter and strong double-digit growth rates driven by improvements in all three segments. Slide 6 presents the summary of our balance sheet compared to the prior quarter. As you can see, we ended the second quarter with more than $1.1 billion in unrestricted cash and debt of $1.8 billion. The increase in cash is largely due to cash generated from operations of $92 million in the second quarter of 2023 as well as short-term borrowings to fund seasonal ATM cash requirements. Slide 7 shows our as reported results for the second quarter. When comparing FX rates on a year-over-year basis, we saw virtually no currency translation impact over the same quarter of last year. I'll go into more detail on each segment's constant currency results for the quarter in the next slide. Next slide, please. I'm now on Slide 8. As I just mentioned, FX rates were virtually the same year-over-year. Before I jump into each segment, I think it's important to point out the business expanded margins across all three segments, reflecting our focus on expenses and leveraging our costs. EFT revenue grew 13% while operating income and adjusted EBITDA grew 21% and 12% respectively. The strong improvements in EFT year-over-year were the result of increased cash withdrawal transactions driven by continued travel recovery trend and good performance of our POS acquiring business. The segment expanded operating margins by more than 100 basis points year-over-year. As we have discussed in prior quarters over the last three years, our international transactions have generally recovered consistently with the recovery of international travel. Beginning in the latter part of the quarter, we began to see a divergence from the recovery of international travel, leading to a flattening of our international transaction growth year-over-year. We'll discuss this trend in more detail later in the presentation. epay revenue grew 15%, while operating income and adjusted EBITDA grew 11% and 10%, respectively. Revenue growth was driven by continued expansion in mobile and digital branded payments, combined with sustained growth of our digital distribution channel and a strong quarter for promotional activity. Transactions decreased compared to prior year due to declines in low-margin transactions in India. These India transactions are low value, and as such, have a large impact on transaction count, but a relatively insignificant impact on gross profit. Margins in epay remained relatively constant year-over-year. Money Transfer revenue grew 7% with operating income and adjusted EBITDA growing 15% and 12%, respectively. This growth was the result of 11% growth in U.S. outbound transactions, 11% growth in transfers initiated largely in Europe and 12% growth in transfers initiated in the Middle East and Asia, and 30% growth in xe transactions, partially offset by a 17% decline in U.S. domestic business. These transaction growth rates include 28% growth in direct-to-consumer digital transactions. Transaction growth outpaced revenue growth, largely due to mix shifts, principally in the xe business, which has benefited from strong growth in transactions, but at a lower amount sent per transaction. The Money Transfer segment margins improved quite nicely through effective expense management, cost leverage and an improvement in gross profit per transaction despite seeing average send amounts per transaction come in by approximately 3%. Before I wrap up my comments, I'd like to give you more insight into our third quarter guidance and our outlook for the full year. First, we continue to expect Money Transfer to deliver double-digit growth in the third quarter and the full year with improving margins. In EFT, where Mike will elaborate in more detail, we are seeing the impacts of inflation and rising travel costs leaving consumers with fewer funds for discretionary tourism spending. Moreover, we anticipate this trend to continue into the third quarter. And as a result, we expect third quarter revenue for EFT to be similar to somewhat better than prior year, but operating income will be constrained due to operating more ATMs together with higher inflation-driven ATM operating costs. Finally, in epay, as we discussed in prior quarters, our promotional activities can create uneven quarterly results. In the third quarter last year, we had strong promotional activity creating a tough comparison as we head into this year's third quarter. When we last provided an update for epay, we had anticipated that the Indian government would remove its ban on two – on the two most popular games in the Google Play store. In May, the Indian authorities granted permission to resume operations of one of the games. Sales doubled in the first few days of the relaunch, but failed to achieve pre-ban levels. And as of today, Free Fire remains banned in India. Additionally, we have learned that the game content providers have plans to release fewer new game titles in the second half of the year, and consumers are buying older games in order to spend less money, which is driving lower sales expectations. When taking into consideration what we see in the current trends, mostly the economic impact of inflation on our EFT segment, which is impacting customer cash withdrawals, we expect third quarter adjusted EPS to be approximately $2.70 per share. And while we are now expecting a lighter third quarter than we would have expected three months ago, we continue to expect to deliver year-over-year adjusted EPS growth, but now at the lower level of low to mid-teens. In closing, we are proud of the double-digit revenue growth in the second quarter, which made possible a 17% growth in earnings and we will be highly focused on finding opportunities to overcome the inflationary pressures we are seeing in the EFT segment. With that, I'll turn it over to Mike.
Mike Brown: Thank you, Rick, and thank you, everybody, for joining us today. I will start on Slide number 10. If you've been around for any period of time, I won't pass up an opportunity to talk about a record. And we delivered a record second quarter on revenue, adjusted operating income, adjusted EBITDA and adjusted EPS. These results include double-digit growth from all three segments including the best quarter for Money Transfer in the company's history. These strong growth rates highlight how we are realizing the benefits of the investments that we have made over the last three years. Since 2020, we have spent a lot of time comparing our EFT transactions to 2019, given the outsized impact COVID had on our tourist transactions. Now that the effects of COVID are dissipating, I'd like to spend a few minutes highlighting the investments we made despite the uncertainty of the pandemic. In EFT, we have added about 5,400 ATMs, we've deployed ATMs in nine new countries, and we purchased the merchant acquiring business from Piraeus Bank. In epay, we continue to add more and more content and introduce that content to new markets and more channels. And in Money Transfer, we successfully accelerated our digital growth strategy and expanded our physical location presence while increasing our overall profit margins at the same time. We continue to invest in our Ren platform, and our sales pipeline continues to grow. Moreover, we developed Dandelion, which is still in its infancy, but is generating very strong growth rates. You can see the success of this strategy in the strong constant currency revenue and adjusted EBITDA growth rates for the second quarter 2023 versus the same quarter in 2019. Said more simply, we are not a one-trick pony. We have launched new products, new markets and entirely new solutions, which have diversified our revenues and cash flow streams, so that we now can expect, which we'll expect – which we expect to allow us to continue to grow well into the future. I couldn't be prouder of these second quarter results, but I'd also like to give you some insight into the lighter than expected third quarter guidance. First, we expect our Money Transfer business to continue to grow at very solid double-digit growth rates, with further operating margin expansion in the third quarter. In epay, as Rick mentioned, we expect third quarter will be a tough comparison to the prior year due to the promotional campaign revenue included in the prior year results. This expectation is playing out and is causing some of the difference between our outlook and the Street's expectation. However, the largest driver of the lower guidance is in EFT. For the last three years, our international transaction data was nearly in lockstep with the international flight data published by Eurocontrol. Then in the latter part of the second quarter, we saw an abrupt and sharp divergence in our transactions compared to the Eurocontrol flight data. You may remember that approximately 80% of our travel customers are Europeans with easy access to destinations outside of the EU. When we analyze the data, we found that for cardholders who must fly to Europe and probably plan in advance to do that, like Americans, Canadians, Australians and others, transactions on our ATMs have increased on a year-over-year basis. However, transactions for European cardholders are down across almost every European country. We have tried to understand the abrupt change in the European cardholder behavior. And we found a range of evidence that suggests that the economic impact caused by the war in Ukraine, together with a sharp rise in the major cost components of a vacation, which, of course, are airfare and hotels, leaves less discretionary income to spend on ancillary activities for which people use cash. There are a variety of sources from which to gather data. But according to USA today, the cost of airfare is up 34% since last year and several travel sites indicate that the cost of hotels in key cities in Europe are up 25% to 30% range over last year. These sharp increases in the last year leave fewer funds for discretionary purchases on a trip, the types of purchases for which people use cash withdrawn from our ATM. A survey from the European Travel Commission, which was co-funded by the EU, indicates that to offset these rising costs, responders to the survey said that 17% of those people would make fewer purchases, 15% would dine at less expensive restaurants, 10% would choose fewer activities with admission fees or go to fewer night clubs. All of these changes would be consistent with fewer ATM transactions despite modestly improving travel trends. The ETC survey also says that 14% of the respondents would opt for more affordable destinations. As an example, according to the study, since March, of the increase in responders who indicated that they would travel, 12% plan to visit places outside of Europe to stretch their budget. This pattern is also consistent with our internal data where, for example, we see Europeans opting to travel to places like Turkey instead of other destinations like Croatia or Greece in order to take advantage of the favorable currency rates. In this example, the Turkish lira has devalued by approximately 36% versus the euro just during the second quarter of 2023, creating travel discounts in real terms. And as you know, we have no ATMs in Turkey. Next, 17% of the respondents to the ETC survey said that they would opt to travel in the off-peak season in order to lower the cost of their trip, a good indicator that these travelers are impacting transaction trends to some extent. Finally, Southern Europe has experienced a record heat wave this summer. In fact, Greece and Italy have evacuated tens of thousands of tourists just in the last few days due to massive wildfires related to the dry conditions and record heat. To avoid the heat, many travelers have shifted the dates of their travel or are choosing cooler climates due to hot weather patterns in the Mediterranean. So as we've pointed out, the travel data available is consistent with the lighter volumes we are seeing in international transactions in Europe. The silver lining in this cloud is that our internal data does not show any kind of a substantial change in consumer ATM behavior. And therefore, does not show a significant structural change to our business. Accordingly, we believe the primary driver for the decrease in international transactions is that tourists have less money available to withdrawal due to the increases in their day-to-day cost of living together with the increases in cost of airfare and accommodations. And I'd like to go back to my earlier comments. We are not a one-trick pony, but rather a well-diversified business that affords us the opportunity to grow through good times and bad. Over the last three years, we have made significant investments across the business and are a stronger, more diverse business, which we believe will allow us to absorb these economic pressures and still deliver record adjusted earnings per share for the full year with expected year-over-year growth in the low to mid-teens range. Let's go to Slide number 11 and talk about the segment-specific highlights, starting with EFT. Slide 11. In these highlights, you can see we continue to expand our global network. In the second quarter, we launched two new independent ATM networks, one in Morocco, one in Latvia, and we relaunched our IAD network in Malaysia, making cash more convenient for travelers and locals in those markets. In Poland, we signed an ATM outsourcing agreement with Santander Bank to provide full outsourcing services on 1,100 ATMs. Further, we signed a network participation agreement with nine new merchants in Poland, who can now use our ATM deposit network as a more convenient way to deposit their cash. These agreements expand our leading market position in Poland. And for an update on our POS acquiring business, we have been extremely pleased with the performance of the merchant acquiring business we purchased from Piraeus Bank. On a year-over-year basis, our transactions grew 12% and we added approximately 4,300 new merchants to our network. Included in this transaction growth is increased volume from Aegean Airlines, the national carrier and largest airline in Greece. In the Philippines, we signed a cardless cash withdrawal agreement with Bank of the Philippine Islands. This provides more convenient and secure access to cash for our customers in the Philippines. Finally, we were able to renew several agreements during the quarter, including ATM outsourcing agreements in the U.S., Albania, Serbia, Montenegro and a real-time payment service agreement for AU Small Finance Bank in India. Now let's discuss the state of our ATM network on the next slide, Slide number 12. We continue to add more ATMs to our portfolio in the second quarter. We added 568 Euronet's owned ATMs, and we added 228 new outsourcing machines. Further, we reactivated 3,155 machines that had previously been closed for the off-season. As of June 30, 2023, we had 51,402 active ATMs, which is a record number of active ATMs for Euronet. The 1,100 outsourced ATMs from Santander that we mentioned earlier, are not included in this quarter, but we expect to add about half of these machines in the second half of 2023, and the remainder in early 2024. To that end, we continue to believe that we will deploy approximately 3,500 machines for the full year in new and existing markets by the end of 2023. Our EFT segment delivered a good second quarter where transaction trends improved, and we had great performance from our Piraeus business. Despite the inflationary pressures facing European travelers, we are seeing develop in the third quarter, we will continue to expand our ATM POS network presence, and we look forward to sharing some new market launches with you later this year. Now let's talk about epay. Slide number 13, please. Our epay team delivered strong year-over-year second quarter results with double-digit growth across all financial metrics, which included nice promotional revenues. In India, we expanded our digital channel distribution through the launch of Xbox E-Codes on Amazon Marketplace. In the U.S., we continue to expand our subscription renewal strategy through Microsoft 365 at MicroCenter, a large computer retailer here. Further, in the U.S., we expanded our growing prepaid mobile phone activation business to include eSIM for AT&T, T-Mobile and Verizon. The launch of this eSIM product category is another example of continued product diversification. In Germany, we signed an agreement with ALDI to issue closed loop cards for their B2B channel. epay delivered a strong first half of the year, highlighted by continued diversity in our products and distribution channels. Now let’s move on to Slide Number 13 and we’ll talk about Money Transfer. Money Transfer delivered a record quarter across all financial metrics with double-digit growth compared to Q2 2022. The with very nice margin expansion. Our money transfer network has now expanded to an impressive 533,000 locations, serving approximately four billion bank accounts and 1.9 billion wallet accounts across 191 countries and territories. In South Africa, we signed a partnership with Flash. Through this collaboration, Ria has the opportunity to leverage Flash’s extensive kiosk network of 200,000 locations in South Africa to expand our remittance services to even more customers. This agreement will allow us to onboard new Ria customers who will be able to send and receive payments at Flash locations. While the entire Flash network will be available for customers to send funds, it is difficult to estimate how many of these locations will actually transact. For that reason, we will not include these in our official location count, so as not to overstate the breadth of our network. In Indonesia, we signed an agreement with Dana Mobile Wallet, which has a user base of 135 million people. Dana is one of the largest wallets in the country, which we expect will enable us to increase our market share. The strong growth in our bank account and mobile wallet network – has driven 32% transaction growth in principal transferred to bank and wallet accounts now represent 35% of total cross-border principal transfer. Additionally, during the second quarter, we launched 24 correspondence in 23 countries. These launches include the International Bank of Somalia making Ria’s first entry into this country. This expansion represents a major step in extending our service to the Somali population. Moreover, we have further strengthened our global network by signing agreements with 33 new correspondents across 26 countries with those launches scheduled in the upcoming quarters. One of the more significant of these agreements is with a large correspondent in Brazil, a significant development that now enables us to offer cash payment options across that country. These strategic expansions demonstrate our commitment to providing enhanced financial services and accessibility to an ever-growing customer base worldwide. We continue to see strong transaction growth across most areas of our money transfer business, driven by a 28% growth in our digital channel and strong execution across nearly all of our physical send channels. With this strong performance across most areas of the business and expanding margins, we expect to continue to deliver double-digit bottom line growth for the remainder of this year. So now let’s move on to Slide 15, and we’ll give a quick little update on Dandelion. During the quarter, our Dandelion partners continued to leverage our money transfer network by expanding payments to 14 new countries and 45% year-over-year transaction growth from our existing partners. This growth is made possible in part by the enhancement of our network, particularly our mobile wallet coverage, which now reaches 1.9 billion wallet accounts. We are excited to announce two agreements that significantly bolster our global presence in real-time digital payment capabilities. We signed an agreement with the payments arm of Inter & Company, a leading super app in Brazil, which provides financial and digital commerce services to more than 26 million customers and is among the most growing Brazilian diaspora in the U.S. Additionally, we have another money transfer service business, which joined the Dandelion family in Q2, and that was Transfer Galaxy, which is a leading digital money transfer company based in Sweden, serving customers across Europe and the Nordics. With these strategic partnerships, we are poised to provide seamless and innovative financial solutions leveraging real-time digital payments technology to an even broader customer base. We believe this solidifies our position as a trailblazer in the global money transfer industry. Let’s go on now to the next slide, please, and I’ll give you a brief update on our Ren developments. We are seeing increasing interest in our Ren technology. During the quarter, we signed a QR-based payment agreement with Tangent Solutions, one of the largest nonbank POS terminal networks in the Philippines. Our technology will allow Tangent Solutions to offer person to merchant-based payments across their entire POS network. Additionally, we have signed agreements with Banco Guayaquil and Banco Pichincha, the two largest banks in Ecuador to provide issuer processing and switching services. And as an update to several deals we have told you about in previous quarters, we launched an open-loop issuer processing agreement with GXS Bank, a leading digital bank in Singapore. On the heels of this launch, we have agreed with GXS to expand this agreement to include GX Digital Bank in Malaysia. We also expanded our relationship with the Bank of the Philippine Islands to implement mobile top-up on the VYBE network wallet using the InstaPay RTP rails in that country. We are pleased that more and more customers are realizing the benefits of our Ren technology which is further evidenced by our pipeline, which we now expect to contribute $149 million in revenue over the next six years. With these Ren comments, let’s now draw this discussion to a close with some summary comments on Slide Number 17. As I said when I began my comments, we did deliver a record second quarter with double-digit growth across all financial metrics. We, like many companies, are facing some inflationary pressures, but we believe our diverse product and solution portfolio will allow us to deliver strong growth results despite those pressures. As discussed, our quarter highlights were: number one, we maintained a strong balance sheet, providing stability and flexibility to make strategic decisions. We generated more than $90 million in cash from operations we delivered double-digit consolidated revenue growth that resulted in 17% earnings expansion. EFT grew the ATM network by signing strategic agreements and entering new markets. epay added more products and markets, including some exciting new products we are preparing to launch. Money Transfer continued to expand its digital physical bank and wallet networks with double-digit transaction growth in nearly every aspect of the business while improving profit margins and leveraging costs. Our POS acquiring business grew transactions by 12% compared to the prior year in the second quarter. We signed new agreements and launched several new projects with our Ren and Dandelion solutions during the quarter. Bottom line, there is a lot to brag about here. We have a long history of growing despite various economic cycles. We have made significant investments across the businesses, and we are a stronger, more diverse business which we believe will continue to allow us to absorb the economic pressures and still deliver record revenue, adjusted EBITDA and adjusted EPS for the full year 2023 and beyond. With that, I’ll be happy to take questions. Operator, would you please assist?
Operator: Thank you. At this time we will conduct a question-and-answer session. [Operator Instructions] Our first question comes from the line of Rayna Kumar with UBS. Your line is open.
Rayna Kumar: Good morning, Mike and Rick. Thanks for taking my question. You obviously talked about inflation being a headwind to your EFT business. Can you tell us a little bit about how it’s impacting your money transfer business? Is it a benefit there? And if so, are you able to quantify that benefit?
Mike Brown: In general, it’s not a benefit when you have high inflation, then the remitters, the people sending the money to their families basically have less money to send and so it’s not a benefit. We have – sometimes you get a little bit of FX dislocation and that could be kind of partially helpful. But the average amount sent that we have seen has gone down over the last couple of quarters, and we’ve mentioned that to you. And remember, about a third of the gross profit we make on a transaction is the FX spread on that. So, if people are sending less, you make a little bit less.
Rayna Kumar: Got it, okay. And then as a follow-up, can you just discuss how the travel recovery has been versus your expectations specifically with some travel returning to APAC? Has it been below or in line with your expectations so far?
Mike Brown: When it comes to APAC, Rayna, we are really not in the right season to be able to answer that well. Their travel season for visitors for tourists starts in October and goes to March. So we do know that things are getting more back to normal there, where we have a profitable network there, but we certainly aren’t getting the tourist, bunches of tourist transactions like we will starting in October. So, that’s kind of where we are. We’ve got to kind of wait for that one. The advantage of the whole APAC network and anything that we do down there is that it’s countercyclical or counter-seasonal to our ATM network in Europe.
Rick Weller: Rayna, I would just add for the couple of months earlier in the year, which was on the very early part of our year, but the latter part of their tourism season. We did start to see that the transactions were being responsive to inbound travelers. So, consistent with what we see in Europe is when consumers show up they take out cash from the ATM. So, that behavior was witnessed earlier this year, and we anticipate that it will pick up as we go into the start of the travel season when we get through this month soon. I mean, literally, there it’s in that monsoon season over there now.
Rayna Kumar: Understood. Thank you, both.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Andrew Jeffrey with Truist Securities. Your line is open.
Andrew Jeffrey: Hey guys good morning. I appreciate you taking the question. This is the second summer in a row now where there’s been something in European travel that’s been disappointing. So kind of, I guess, two questions for you, Mike. One is, is there any way or is there a desire to think about the cost structure of the ATM business such that maybe it needs to be adjusted for what could be structurally lower tourist revenue and tourist transactions? And two, as you expand outside of Europe, East and South, should we also think about that as potentially being a segment margin drag? I’m just trying to get a sense of how to level set your business for what could be a less vibrant kind of European in particular, travel environment. So, we don’t know how long this is going to last.
Mike Brown: No, we don’t. One of the bright spots is expansion outside of Europe, because the reality is even our data from 2019 and past that is those ATMs in those more developing markets where people go and that would include now of course, our Asian ones, but let’s not forget, we’re also live in Morocco and in Egypt. They are very, very profitable for us, more profitable than the average ATM in Europe anyway. So, those ATMs and expansion in those areas actually will probably pull our margins up rather than the other way around. And with respect to our European numbers, we’re still making very nice profit where – but I mean, maybe we made really nice profits when there’s that many more transactions. So, you’re right. We don’t know when it’s – things will get a little bit better inflationary within Europe, but it happened so fast I think that’s one of the reasons that caught people off guard, including myself. I mean, clear up until through the beginning of June, I thought everything was fine. We were tracking with the – our transactions, we’re tracking with the travel data and then it just fell off a cliff in June, and that’s when we started to see it. And I think that’s because – by that time, then the Europeans were making their summer holiday plans, and they were just basically spending less because they had less. So, the nice thing is that we don’t have – we still have a very – it’s still a very profitable segment for us. And so, you don’t want to give that up. We just need to try to expand into more areas outside of Europe.
Rick Weller: Yes. And I would add to that, Andrew, you asked a question about our interest or thoughts about cost structure. And short answer to that is yes. And I know that as even a few weeks ago, Nikos, who manages that piece of our business for us has already initiated some thoughts on what we can do to try to manage that potentially in a different way. So, we would anticipate that the consumer behaviors will be back to when their wallets are refreshed, if you will, and you kind of rightsize the economics, et cetera, because people are still going to want to go to the attractions and go to night clubs and things like that. They are just making short-term decisions to accommodate their wallet. But nonetheless, we’re taking a look at what we can do to find some other ways to run the cost of that business more effectively.
Andrew Jeffrey: Okay. And just as a quick follow-up, what levers, if I understood the comment correctly, you’re anticipating double-digit Money Transfer revenue growth this year.
Mike Brown: You are cutting out, Andrew.
Andrew Jeffrey: What levers drive second half money transfer revenue growth acceleration?
Rick Weller: Andrew, you were breaking up a fair bit, but I think, you asked what drivers or factors are driving the second half money transfer revenue?
Andrew Jeffrey: Yes, the acceleration that you are anticipating.
Mike Brown: Well, I think it’s all the things we mentioned. I mean the reality is we kind of – we’ve got the best payout network in the world. We’ve got a great payout. We might be barely two when it comes to physical payout locations. But when it comes to digital payout locations, we are by far number one and you saw that our growth rate there was 32% over prior year being paid into either bank accounts or wallets. We’ve spent a lot of time working on digital payout because we know that’s the future as more and more of these countries and their citizens become banked. And then that now accounts for 35% of all the payouts we do are into those digital channels. So, that’s one of the things that give us an edge. And I think it’s just kind of blocking and tackling. It’s what we do every day. We’ve been growing that business three to four time faster than World Bank numbers now for 15 years, and we’re going to continue to do that.
Andrew Jeffrey: All right, thank you.
Mike Brown: And the best part, I guess, is that we’ve also – we spent a lot of money getting to where we are, and now our margins are coming back in. And we’re basically our growth in transactions and our serious cost cutting or just cost constraining initiatives have given us very nice expansion in margins.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Andrew Schmidt with Citi. Your line is open.
Andrew Schmidt: Hi Mike. Hi, Rick. Thanks for taking my question this morning. I appreciate all the commentary on the high-value transaction recovery. I understand there’s a lot of moving parts there, but I appreciate the work to win to that. So, two parts that kind of go into that, right? The first part is pro recovery. And we’ve obviously seen some lighter recovery in terms of UK travel volumes or geos and then – but the second part is customer behavior in terms of what you’re alluding to. So, maybe just talk a little bit about your confidence that what you’re seeing is not structural and that we’ll see these come back? Meaning transactions, I should say, traffic to ATMs, DCC opt-in rates, those things have not fundamentally changed. We’d love to give a little bit more perspective there. Thanks a lot.
Mike Brown: Well, there are two variables that have happened just over the last month, a month or two. One is as inflation hit Europe, we noticed that the average amount taken out per ATM withdrawal went down slightly for three months in a row. We noticed that our opt-in rates are exactly the same. So, customer behavior is exactly the same. It just seems clear to us that people are being more frugal with they’re spending. And if you think about going on vacation, maybe 60% of your total spend is your airfare and hotels. And then that leaves – 30%, 40% left there for your discretionary spend, all the things you do for fun. Well, that portion is where cash comes in, where you might need cash for a little bit of that. And so when you – if you have x amount in your travel budget and you watch your cost of airfare and hotels go up 25% to 35%, that just leaves less there for that discretionary spend. So, everything seems to be following that logic really well. So, I think as people’s salaries kind of catch up with the cost that they have in their everyday life and their budgets kind of expand a little bit to make up for high cost of flights and hotels, I think, we’re going to see a benefit to our – the discretionary portion of people’s vacations. And of course, that would accrue to us.
Andrew Schmidt: Got it. Thank you very much. And then maybe a question on the Ria business. Historically, Ria has been, I think, very competitive on price continues to be. But has the pricing strategy there changed at all, meaning as you get more scale more pain and payout endpoints, there’s opportunity to increase price there or we continue to kind of be that kind of lowest cost option out there? Just curious just on how the pricing strategy is evolving there. Thanks a lot. 
Mike Brown: So we're probably not the lowest, lowest. Those are usually little local guys. Let's not forget the big names that you've heard about both digital and physical names, maybe all of us together account for 30% of all the money transfers that happened in the world. So that other 70%, you've got little guys who might just go to one country. And they're always kind of going to be the lowest price, but we've decided – we've continued to be price aggressive but that's kind of how we've been through our whole life. You are right as we add new markets that there is little competition in that tends to allow you to price a little bit higher just because you don't have as much competition and that can help your average revenue per transaction. So really nothing's changed there. I mean, look we've got a – we've got a working business there. I mean, people got to really take a look at this money transfer business. For freaking 15 years, we have outperformed World Bank numbers by three to fourfold every single year, year-after-year, which is why we went from a little guy 15 years ago to Number 2 in the world. And our goal is to be Number 1, and we're on the way to do that because we're growing and others aren't. And so I think we've got a pretty good game here and we're going to just continue.
Andrew Schmidt: Make sense. Thanks a lot Mike.
Operator: One moment for our next question. Our next question comes from the line of Darrin Peller with Wolfe Research. Your line is open.
Darrin Peller: Hey guys. Thanks.
Mike Brown: Good morning.
Darrin Peller: Maybe just quickly, as a reminder on the segment level detail, maybe if you can help us with understanding expectations for EFT versus Money Transfer and epay for the rest of this year. I don't know if there's any more color you can give us on growth for each of them?
Mike Brown: Rick?
Rick Weller: No, I think as we said in there when we take a look at, especially more focused on the third quarter here. We expect those revenue numbers to be more flattish to last year kind of more similar still growth coming out of there, but it won't be because we just – we pulled back on what we expect in terms of transactions at the ATM. So as we project through the rest of the year, I think what we're seeing in the consumer data is that consumers are pushing out some of their vacations into the third and – I mean, into the fourth quarter. That will probably give us a little bit of benefit. But I think that, that will largely be there to absorb again more of the contraction and the total amount of spend that people have. So we've dramatically changed our – what we think is in the third quarter, and you see that in our third quarter guidance, so I think that's kind of the way it will play out.
Mike Brown: Yes. We're hoping that that's a conservative number, but we have to take a look at June's numbers and extrapolate them forward. So we're just being as honest as we can with the data that we have.
Darrin Peller: Yes. Makes sense. Hey guys, can you just help understand a little bit more around the mix between Piraeus EFT – within the EFT segment, Piraeus and ATM and Ren; just the transaction mix between the three different categories at this point? I know there are different margin businesses. So we're just trying to make sure we understand that each of these grow and some of them growing better than others, what it means maybe medium term for the profitability?
Mike Brown: With that segment, I don't know it makes Rick smarter than me on these numbers, but I think if you mix all those numbers together I'm not sure you're going to get anywhere. What we do know is that three components do are making very good contributions to the bottom line in that particular segment. I mean, we've got – last year as an example was the Piraeus Bank stuff that we now call Euronet Merchant Services. We did about $26 million in EBITDA over the 10 months that we had it. Ren did about $15 million over that – over those 12 months, and then the rest was in the ATM business. So that's kind of – those were the years last year, but both Ren is growing quite nicely and Piraeus is growing quite nicely. It's just that we're getting – we're being conservative on our EFT ATM.
Rick Weller: I mean, Darrin, the Piraeus business, and if you go back and look at some of the disclosures we had about the time of the acquisition is it's kind of in the ballpark of double-digit number of our EFT on the revenue side, okay? So call that 10, 11, 12 kind of in that ballpark there. I would tell you that the margins in that business are less than in our traditional ATM business. But the average value per transaction, if you take a look at the average gross profit per transaction is pretty similar to what the net is of our EFT segment. So, and again that's the mix of all of the stuff in the EFT segment. So as that business would grow, let's say if it grows faster than the rest of the business, it might impact the margin a little bit in terms of just the mathematical expression of the margin, but it wouldn't impact the profit. It would just continue to add to the profit of it.
Darrin Peller: Right.
Rick Weller: Dandelion business is similar in gross profit margins to our other money transfer business. And the Ren business on a gross profit basis, on a margin basis, it can be very good. And I mean, it can be, you know, I won't say nearly 100% but it's transaction processing through our existing infrastructure, and so it can be a very – a very high margin kind of a business. That would tend to be a lot lower price per transaction though, but margin and mathematical margin would be very good. Again, once it goes to the bottom line, it's very, very enhancing to the bottom line.
Darrin Peller: Understood. That's helpful. Thanks guys.
Mike Brown: Thank you.
Operator: One moment for our next question. Our next question comes from the line of Mike Grondahl with Northland Securities. Your line is open.
Mike Grondahl: Hey guys. Thanks. Two quick questions. One, if you had to bifurcate the softness in DCC revenue between the volume of transactions and the size of transactions, how would you think about that like 70% volume, 30% smaller size? Can you take a rough stab at that?
Rick Weller: 95% volume and 5% size.
Mike Grondahl: 95% and 5%, okay.
Rick Weller: Yes. As Mike said earlier, we didn't – we saw a little bit of decrease in the average size of the transaction. No change in opt-in, it's just simply a number of transactions.
Mike Brown: And it's not just DCC, it's also regular trans – all transactions because DCC is just a cross-currency guys, but there's a lot of, as an example, a lot of Germans going to Italy to have pasta. All the numbers are down.
Rick Weller: And as Mike said, the downward draft is on European customers, whereas customers coming from outside of Europe have been continuing to grow. So again we see it as being the European influence there.
Mike Grondahl: Got it. Yes. That I get. And then secondly, epay had a good promotional quarter and we've seen that randomly in the past; could you size that a little bit for us? Just so it helps us with a little bit of modeling. I mean is it – do we chalk up $10 million to promotional activity, $20 million of promotional activity? If you could help with that, it would be great.
Rick Weller: I would say the incremental promotional activity was in the ZIP code of $15 million. And if you – if you were to pro forma that, you would still see that the epay business on a revenue basis grew double-digit in the quarter even if you pro forma out that extra promotional stock.
Mike Grondahl: Got it. Thank you.
Rick Weller: And also I would just mention the extra promotional stuff is largely accounted for on a gross transaction basis rather than on like a commission basis. As you know, we earn our revenue in epay largely as a percentage of the transaction, whereas in the promotion business we're recording as revenue, the full ticket value of the transaction. So that's why it has a more outsized impact on revenue but not the same kind of impact on profit.
Mike Grondahl: Got it, and helpful. Thank you guys.
Operator: One moment for our next question. Our next question comes from the line of Ken Suchoski with Autonomous Research. Your line is open.
Ken Suchoski: Hey good morning Mike and Rick. Thanks for taking the question. I just want to ask about the opportunities to take out expenses in EFT. I mean which areas would that come from? Would you just remove ATMs from the market or shift those ATMs to other locations? And I guess how quickly can you take out those costs to try to maintain your decent EBIT margins?
Mike Brown: Okay. So first of all, there's not a lot you can do. You either have the network on or you don't. We can and we always call for performing locations to put them in better places. And based upon the new realities of the number of transactions that we're getting, we might have some of those that were maybe on the – on the edge that we now move to better places. That's probably the largest thing but when you look at the components that we have, Ren pretty much is under control. It staying the same cash delivery to ATMs is under a lot of pressure to go up because that's a very labor-intensive business from the people like Brink's and Securetots and all those guys. So, but we've got some other ideas maybe to take out, but the reality is we can't take out a lot to make up for the margin difference. The nice thing is in Q3, we used to have so many transactions in Q3 that had popped our margins way high. We're just looking at flattish kind of numbers of transactions. So compared to Q2, maybe a little bit better and there's not a lot we can do with the expenses.
Ken Suchoski: Okay. And then maybe just a high level, I guess, strategic question. I guess if you're facing you're just not seeing that recovery in the traditional kind of ATM DCC business. Is there a greater sense of urgency to pivot that business more towards Ren or maybe Asia Pacific and some of those new markets? And I guess what's your strategic thinking on that front, and I guess how quickly can you move there?
Mike Brown: We have been. I mean, that was – that was the point that we are making. We've been pivoting for three years. But these new endeavors like Dandelion and Ren and even [indiscernible] they're kind of hot out of the box. So we're actually very impressed by their growth rates, but, and we're throwing everything we can at them to grow, but we've got – we had a really big, very fast-growing cash cow which is the ATM, we've got to get those guys to catch up with it. And it isn't like the EFT business has gone out the window. I mean, just this last quarter, we had $66 million in op income. So out of the – and you got a tax effect that, but out of the $90 million of cash that we threw off, it was a big chunk of that. But we are – we are doing everything we can to go as fast as we can into these new markets because those babies are like mana from heaven. These are cash-based markets, no matter what people bring on vacation, they're going to spend a lot higher percentage of it there, where you could buy your lunch in Italy with a card, you can't buy your lunch in Egypt with a card or not very easily.
Ken Suchoski: Right. Now that makes sense. All right, thanks Mike. Appreciate it.
Operator: One moment for our next question. Our next question comes from the line of Cris Kennedy with William Blair. Your line is open.
Mike Brown: Hi Cris.
Cris Kennedy: Hey good morning. Thanks for taking my question. Can you give a little bit more details on the trends that you saw in June and July?
Mike Brown: I mean, we've kind of said it a few different ways. What we've seen is that the number of transactions did not meet our forecast. So, and that the only other – the opt-in was exactly – basically exactly the same. The amount taken out was very slightly different. As Rick said, that might be a 5% rating. But the biggest thing that was surprising to us is people just – there are less people taking out money.
Rick Weller: And I think the other thing that was more significant that we saw. And when we kind of look back in – back in the quarter, the first – the first kind of drop that we saw was also coincident with very cool weather in Europe. And you kind of look at it and you go, what's happening and the inclination was, okay, well this – this will be short-lived. It's weather-inspired and we've seen those kinds of things happen before. And we go another week and another week and we go – the weather thing is now ran its course and we're still seeing this lower volume because literally when we compare our international withdrawals to the flight data, there was great correlation right up until we get to the month of June, okay? And so that's when then we really started looking into what could be driving the consumer out there? What's happening? And you start looking into it and the press, and you can do some of your research or whatever but you see the press filled with things. You're even this last week, Ryanair made a comment about pulling back and so you're seeing – you're seeing things there that are really impacting that customer. In the – that recent survey which they do every three months, okay, so this is fresh data coming from recent customer comments is when they talk about how they manage their budget, well, then they're looking at alternative hotel places to stay because last year they may have stayed at a 4-star or a 3-star. This year it might be a 2-star or 3-star different choices there. So it came quite quickly. And what we would also say is it it's remained fairly consistent then through them. We have not seen any kind of acceleration. So I – again, we take it back to how much money does that customer have in their pocket to go places like night clubs, features and things like that.
Cris Kennedy: Understood. Thank you. And then just, Mike, from a longer-term perspective, I mean, Euronet has always grown low-double-digit is kind of your target. That's what you've done. I mean anything – can you just give your updated thoughts on the sustainability of that type of growth over the long-term? Thank you.
Mike Brown: You must be talking about revenue.
Cris Kennedy: Correct.
Mike Brown: We've always – yes, I really don't focus there. I focus on profit and our cash EPS has been kind of mid-teens to 20, the low-20s and that's our focus to get in that's still our focus. I think we can get there. And in fact we're there right now, so we will continue to do that.
Rick Weller: I would just add to Mike's comments. Look, if we look back at our history, we've had a whole range of events that have set us back temporarily for some reason or another, whether it's the India cash demonetization is when we saw – a year when we saw significant drop in Visa and MasterCard rate in Poland. Next year, we had a change in the pricing structure of the German transactions. We had the financial crisis of 2009, 2010. And I've been fortunate to be here over the years is that the questions that we're receiving today were the same kind of questions that we received then. Can we continue to grow this business? And what we find is that we've got some really great assets in that one. We are a growth-oriented business, it's our grow – it's our culture to grow. Second is we've got a very nice diversified product portfolio. We're not just as Mike said in his comments; we're not just a one-trick pony. We've got operations around the world. We're not dependent upon just one kind of economic cycle. And we're in a very growing business. I mean all aspects of our business have fundamental growth characteristics to it. So exactly where that next dollar is going to come from, sometimes that might be hard to pencil out. But if you look at our history, we have proven year-in and year-out that we find ways to grow through our diversified business and manage our revenue growth and our expense. So we remain confident as a leadership team that we will continue our double-digit growth. We've obviously got a little bit more work ahead of us today than what we might have had a few months ago. But I'm confident that we'll find a way to keep that growth momentum going.
Mike Brown: I think when you look at the culture of the company, its two things that's what Rick said, we're growth oriented, but the second is we're very resilient. In this management group and the 8,000, 9,000 people that we have working here they are resilient, and they always figure it out. So we will do it again. Thank you, though for your comments.
Operator: Thank you. That concludes the question-and-answer session. At this time, I would like to turn it back to Mike Brown, CEO for closing remarks.
Mike Brown: I think I said in my closing remarks. I want to thank everybody for being on the call today, and look forward to seeing you in three months. Thank you.
Operator: Thank you for your participation in today's conference. This does conclude the program, and you may now disconnect.